Operator: Good day, and thank you for standing by. Welcome to the Ultralife Corporation First Quarter 2023 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be the question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Jody Burfening. Please go ahead, Jody.
Jody Burfening: Thank you, Kathy, and good morning, everyone. And thank you for joining us this morning for Ultralife Corporation's earnings conference call for the first quarter of fiscal 2023. With us on today's call are: Mike Manna, Ultralife's President and CEO; and Phil Fain, Ultralife's Chief Financial Officer. The earnings press release was issued earlier this morning and if anyone has not yet received a copy, I invite you to visit the company's website, www.ultralifecorp.com, where you'll find the release under Investor News in the Investor Relations section. Before turning the call over to management, I would like to remind everyone that some statements made during this conference call contain forward-looking statements based on current expectations. Actual results could differ materially from those projected as a result of various risks and uncertainties. The potential risks and uncertainties that could cause actual results to differ materially include the impact of COVID-19 related supply-chain disruptions, potential reductions in revenue from key customers, acceptance of new products on a global basis and uncertain global economic conditions. The company cautions investors not to place undue reliance on forward-looking statements, which reflect the company's analysis only as of today's date. The company undertakes no obligation to publicly update forward-looking statements to reflect subsequent events or circumstances. Further information on these factors and other factors that could affect Ultralife's financial results is included in the company's filings with the Securities and Exchange Commission, including the latest annual report on Form 10-K. In addition, on today's call, management will refer to certain non-GAAP financial measures that management considers to be useful metrics and differ from GAAP. These non-GAAP measures should be considered supplemental to corresponding GAAP figures. With that, I would now like to turn the call over to Mike. Good morning, Mike?
Michael Manna: Good morning. Thanks for joining the call on Ultralife's Q1 2023 operating results. Given a cyber attack at two of our facilities at the beginning of the quarter, I'm extremely pleased with the Q1 results and the efforts of our internal teams. We managed to improve gross margin over Q4 as our teams diligently work through the cyber attack, which consumes time and resources to assess, restore, validate systems then resume business and production operations over many weeks. As a result, we experienced operational inefficiencies in Q1 and could not take full advantage of our backlog position, while experiencing surging demand from our customers, especially in the medical and defense markets, reflecting, in large part, the adoption of new products and the strengthening of our customer relationships. I thank our teams and patient customers for working through the production validation and restart we experienced in Q1, it was a great team effort. I will now turn it over to Phil to talk through the Q1 numbers.
Philip Fain: Thank you, Mike, and good morning, everyone. Earlier this morning, we released our first quarter results for the quarter ended March 31, 2023. We also updated our investor presentation, which you can find in the Investor Relations section of our website, and expect to file our Form 10-Q with the SEC in the next few days. Before starting my review, I will provide a few follow-up comments on the ransomware attack that we disclosed during our fourth quarter investor call on March 2. The attack at our Newark and Virginia Beach locations, which occurred on January 25, impacted our ability to process orders, ship products and effectively manage our S&OP process over a several week period at our Newark facility, and during the remainder of the first quarter at our Virginia Beach facility. As previously disclosed, we have a cyber insurance policy in place and we are continuing to work on the claim, which covers both the direct cost of engaging cybersecurity experts to help with the data restoration, systems recovery, system security augmentation and all of the resulting regulatory reporting, as well as the business interruption impact. I look forward to sharing with you the details of our claim once the settlement has been reached and funded, after which we will be able to report on the settlement amount in our financial results. For the first quarter, the only amount recognized is the $100,000 insurance policy deductible, which was reported in operating expenses. To reiterate, based on the recovery of our systems, review of the files affected as well as the company's prompt response to an assessment of the incident, no ransom or other amount has been or will be paid. Now I'll take you through our first quarter results. Consolidated revenues for the 2023 first quarter totaled $31.9 million, compared to $30.4 million for the first quarter of 2022, an increase of 5.1%. Government defense sales increased 24.7%, while commercial sales decreased 1.7% compared to the year earlier period, with both sectors impacted by the cybersecurity attack. Our total backlog exiting the first quarter remained high at $108.1 million, with $96.1 million due to ship over the remaining 9 months of 2023, representing a 30.2% increase over the comparable amount of $73.8 million for the year earlier period. Revenues from our Battery & Energy Products segment were $28.5 million compared to $29.2 million last year, a decrease of 2.3%. The cybersecurity attack primarily impacted our medical and government defense businesses, which declined 8.5% and 4.7%, respectively, for this segment. These declines were partially offset by higher oil and gas market sales, which increased 21.3% year-over-year. The backlog for our Battery & Energy Products business of $87.9 million was virtually identical to the backlog of $88.6 million exiting the fourth quarter of 2022, which was the highest in our history for this segment. The sales split between commercial and government defense for our battery business was 78/22, identical to that reported for the 2022 year and the domestic to international split was 48/52, compared to 49/51 for the 2022 year, accentuating the continued success of our global revenue diversification strategy. Revenues from our Communications Systems segment were $3.4 million compared to $1.2 million last year, an increase of 181.8% primarily relating to shipments under a vehicle amplifier adapter order with a global defense contractor received in mid-2022. That was tempered by the impact of the cybersecurity attack. The backlog for our Communications Systems business of $20.2 million was down 9.8% from the backlog of $22.4 million exiting the fourth quarter of 2022. On a consolidated basis, the commercial to government defense sales split was 70/30, virtually identical to the 71/29 reported for the 2022 full year. Our consolidated gross profit was $7.4 million for the 2023 first quarter, up 6.9% over the 2022 period. As a percentage of total revenues, consolidated gross margin was 23.3% versus 22.9% for last year's first quarter. Gross profit for our Battery & Energy Products business was $6.5 million compared to $6.7 million, last year. Gross margin was 22.9%, a sequential increase of 130 basis points over the 21.6% reported in the fourth quarter and a decrease of 20 basis points and 23.1% reported last year. The sequential improvement was primarily due to our closer matching of customer price increases with the continued cost inflation of certain raw materials and key components, including various electronic components, PC boards and chipsets. For our Communications Systems segment, gross profit was $0.9 million compared to $0.2 million for the year earlier period. Gross margin was 26.8% compared to 19.4% last year, reflecting higher factory throughput leading to higher cost absorption tempered by the inefficiencies associated with this cybersecurity attack. Operating expenses were $7.4 million compared to $7.3 million last year, an increase of 2.2%, solely attributable to the recognition of the $100,000 cybersecurity insurance deductible. As a percentage of revenues, operating expenses were 23.2% compared to 23.9% for the last year's first quarter, a 70 basis point improvement reflecting sales leverage. Operating profit was breakeven, inclusive of the $0.1 million one-time insurance deductible, compared to an operating loss of $0.3 million last year. Our tax benefit for the fourth quarter was $0.1 million versus $0.3 million reported for the 2022 quarter, computed on a GAAP basis. Including the impact of interest expense to help finance the Excell acquisition, and foreign currency losses associated with the strengthening of pound sterling to the U.S. dollar, net loss was $0.3 million or $0.02 per share. This compares to a net loss of $0.2 million or $0.01 per share for the 2022 quarter. Adjusted EBITDA, defined as EBITDA, including noncash stock-based compensation expense was $1.2 million or 3.6% of sales for the 2023 quarter, compared to $1.1 million or 3.6% for the prior year quarter. Turning to our balance sheet, reflecting the impacts of the cybersecurity attack as well as actions to proactively influence our position to service our substantial backlog, inventory increased by $6.1 million or 14.9% over the fourth quarter with $5.1 million or 83.1% of the total increase occurring in our Newark and Virginia Beach locations. We ended the 2023 first quarter with working capital of $52.5 million and a current ratio of 2.8, compared to 50.1 and 2.7 for the 2022 fourth quarter. Debt to capital at quarter end was slightly below 0.20%. Going forward, with our backlog, diversified end markets, growth initiatives, ongoing actions to improve our gross margins and with the cybersecurity attack for the most part in our rearview mirror, we remain dedicated to realizing the leverage potential of our business model. I will now turn it back to Mike.
Michael Manna: Thank you, Phil, for the detailed breakdown on the Q1 results. For 2023, as I explained in the last call, we are focused on executing our backlog and improving the gross margin of the business. We did see improvement in gross margin in Q1 even with the inefficiencies due to the cyber event, which is encouraging, but we have more to accomplish. The cyber event impact delayed some of the improvement projects we have underway, such as printed circuit board redesigns and Lean and Kaizen events as our teams were focused on the recovery efforts. Speaking briefly to supply chain, we are seeing encouraging signs of component lead time reduction and improved part availability through 2023 thus far, although both businesses still have supply issues with certain specialty parts that impact production. Direct labor in our locations and with our supply chain remain tight throughout Q1. Our top initiatives are still in progress being, first, continuing price realization activities. We experienced some increased benefit on gross margin in Q1 and continue to work on adjustments to improve and stabilize our gross margin performance for both businesses. Communication Systems specifically has a backlog of contracts that were priced in some cases over a year earlier, which resulted in margin pressure from pricing, then award, to actual delivery. We should work through the earlier backlog in the next few quarters, which will move us past these contracts and improve the gross margin. Second, we continue our journey of extending the time horizon of our sales and operations planning process with both customers and suppliers, improving our end-to-end forecasting. We have hired an operations lead in our Newark facility and are currently recruiting a supply chain leader. This process will reduce the additional fees for expedited parts and logistics and reduce manufacturing inefficiencies, both internally to Ultralife and within our supply chain. And lastly, we continue to improve our process of launching new products and transitioning to higher volume production, aligning resources to focus on lean principles and design for manufacturing. Next, I will give some updates on our organic growth strategy, which is new product development and the major focus projects underway. First, on the Battery & Energy side of the business, we continue to develop and improve products for our branded general sales and for our important OEM customers. Our Thin Cell product line continues to gain momentum in the rapidly growing medical wearables and product tracking market spaces. We have purchased additional CapEx equipment to support forecasted demand by our customers. This equipment should start coming online in Q3 of this year. On the UB123A product line serving the IoT market space, we continue cadence production shipments of this project and expect volumes to ramp this year. The XR123A, our Carbon Monofluoride blend version of this cell, which offers 20% to 30% more energy in the same size is currently going through UL safety certification, which is expected to complete in early Q3. For both 123A cell variants, we continue to work on multiple opportunities for cell sales, but ultimately believe battery pack assemblies will be a critical piece of this product line where custom solutions can offer value and stronger customer relationships. We have multiple partners evaluating our improved Thionyl Chloride product line, targeting monitoring and telemetry applications where this technology can power items across extreme temperature ranges for up to 20 years. We have several commercial negotiations ongoing, and we'll have multiple new Thionyl products launching in 2023, the first of which is a 19Ah D cell targeting utility monitoring applications. This cell is sampling now and will be available in production in the back half of 2023. The development of the conformal wearable battery, which is used to power advanced dismounted soldier equipment continues to make progress. We currently expect to start first article testing of the battery in Q3 of 2023. This being an indefinite quantity, indefinite delivery contract with uncommitted volumes, we continue to balance internal resources for this project with other known revenue-generating and cost reduction projects. Secondly, on the Communications Systems side of the business, we are working through branding and cosmetic items for our EL8000 server case and power system, a strong sign that we are close to initial commercial orders, this will help diversify and add scale to the business. Meanwhile, we continue to work on advanced amplification and power products with multiple partners to support air, ground and sea communications, primarily military in nature. Lastly, on growth, we continue to develop strategies and relationships on how to best position us to take advantage of electrification and 5G market spaces, looking for niche applications and investments that will bring us competitive advantage, leveraging our cell design expertise and power system capabilities. We are in discussions with several partners to collaborate on advanced cell prototypes in 2023. In closing, after some frustration in Q1 with the cyber event and a great team effort to get back on track, we are laser focused on our goal of returning to profitable growth, which is key to paying down our acquisition debt. Execution continues the main priority and mandate for both businesses with communication systems increasing scale to achieve profitability. Battery & Energy converting on multiple growth initiatives, while driving gross margin improvements. Thanks, everyone, for the attention. That concludes the prepared remarks. Back to the operator for questions.
Operator: Thank you. At this time, we'll conduct a question-and-answer session. [Operator Instructions].
Unidentified Analyst:
Michael Manna: Okay. Thank you, Kathy. Well thanks, everyone, for listening to today's call. We look forward to talking with you next time at the Q2 earnings call. Have a great day. Bye, everyone.
Operator: Thank you for your participation in today's call. This does conclude the program, and you may now disconnect.